Operator: Hello, and welcome to the Results Q1 2024. Throughout the call, all participants will be in a listen-only mode, and afterwards there will be a question-and-answer session. Please note, this call is being recorded. Today I am pleased to present, Olivier Elamine. Please begin your meeting.
Olivier Elamine: Thank you very much. And welcome from sunny Hamburg, and hot Hamburg. Today -- my name is Olivier Elamine, I am the CEO of alstria, and I am here today with Ralf Dibbern, which is having our Investor Relations to walk you through the Q1 2024 results for alstria. Before we go into the presentation, let me once again draw your attention to the disclaimer and the statement regarding forward-looking statement, and the duty to update. And then, without undue delay moving on to the highlight of the quarter. The business have developed pretty much in line with the company expectation with our revenue up around 7.5% year-on-year, which was the combined effect of some CPI, which went through our P&L, as well as subjectily the result from the year before. The FFO is at EUR20 million -- EUR20.2 million, which is down 20% year-on-year; again, here it doesn't go into the price, this is essentially resulting from the increase in leverage on the balance sheet of the company. Our leasing result is around 25,000 square meters for the quarter, which is less than the same quarter last year. However, with a completely different mix as we have a potentially higher number of new leases within our development portfolio, and a bit less lease extension which is mainly due to the structure of recurrent leases; we had let leases that comes to renewal in the first quarter of this year. And all in all, that gears us on the balance sheet side and [indiscernible] per share. And LTV slightly down at 57.6%, mainly as a result of the cash generated and the value of stability in the portfolio for the first quarter. Moving on then to the portfolio update; the portfolio itself have not changed materially, there was no transaction; that's where I come back in a minute on the transaction market. The average revenue per square meter is still from my perspective, revenue cheap [ph] below EUR3,000 per square meter, it was a violation yield [ph] stable slightly short of 5% to 10% [ph]. The vacancy rates at 7.7%, and our contractual rent is gradually standing at the date of reporting at EUR197.9; that’s probably a bit higher right now given that after the reporting date, rents [ph] have increased following some additional indexation that kicks in. On the leasing side, the lending volume we've discussed briefly before around 24,000 square meters; a clear shift towards new leases, and we are seeing material increase in the new lease pipelines. We have less renewal than last year which is not to speak about the fact that leasing is small -- it has more to do with the fact that we have less lease due to renew, and therefore less renewal for that matter. And the average rent per square meter actually keep on going up; the slight decrease that you see at 1,454 [ph] this quarter is essentially linked to the fact that in the course of the quarter we have registered additional 8,000 square meter of office space in one of our personal project which goes down the average rent issuer to correct from those 8,000 square meter; we would be round about at the same level than the quarter before. To the -- if we move now to the balance sheet on the investment property; there is no material change, there was no external valuation for the portfolio in Q1, the small changes that you see here mainly reflects the CapEx that were spent on the portfolio over the Q1 in our development project. The equity is again here relatively stable; the slight increase that you have here is essentially reflecting the net income for the quarter. And the net financial debt is slightly down quarter compared to year-end, and that's again reflecting on the bond buyback that we have done which have reduced slightly the amount of debt on the company balance sheet. The [indiscernible] equity ratio which is basically looking at the investment properties value in relation to our total equity is improving slightly and getting closer to 45 [ph] which is required by the REIT law [ph] which we need to correct within the next two years. The net LTV is slightly down, again, same cause leading to the same effect; that reflected both, the cash balance on the company and the fact that there is a bit less debt following the buyback at the NTA [ph] as manual authority [ph] is essentially infected by -- a module infected by the net income on the fourth [ph] quarter. If we move now to the profit and loss, the FFO per share come up at EUR0.11, its down compared to where it was a year ago. And again, it doesn't come as a surprise; it's a full year impact of the leveraging that we have done on the balance sheet of the company. So, rental revenue on their end -- on the other end are up 7.5%; we've discussed that briefly before which is a combined effect of a bit of CPI and the leasing result. And the SG&A are down, and that again is reflecting the fact that some of the effects from the [indiscernible] transaction have been fading away, and we are keeping most of the costs of the company under control. If we move now to the financing side; and I know that probably a lot of people out there which are focusing very much on that front -- we have basically a sign-up in the course of Q1 for new mortgage loan, for total nominal amount of EUR120 million. As we’ve discussed previously, we are using 100% of that amount to refinance our existing indebtedness. We have been buying back some of our bonds and the -- at the table on the right side of the chart is basically summarizing all those buyback. Renewed debts that we have taken onboard has a maturity of 5-year and a margin of 145 basis points over a year ago, so we are still in position to access decent financing on the mortgage side of the slide or the price [ph], which is substantially more attractive than what we could find right now in the public debt markets. So, if we look and zoom out a bit from what happened last quarter; and we look at the overall debt portfolio of the company, our average cost of debt is again slightly up, which reflects the fact that we're boring new debt which is more expensive than the debt we are currently paying. So we are at around 2.9%. the company has around EUR2.5 billion of nominal debt which is EUR2.3 billion [ph] if you look at the net debt, and our maturity profile putting aside a small 2024 maturity that we are in the process of finalizing; as we speak, the next large refinancing that we have is the bump that mature in 2025. And then, 2026, 2027 we will basically have the ongoing maturities which have not materially changed in flood bands [ph] that we spoke. If we move on finally to the outlook, here again, there is no material change in the underlying markets. On the politics side, we still have a strong and active lending market which is really functioning well with the leading up and have a very decent lease pipeline. Especially, but not only on our refurbishment portfolio. On the investment markets, we still see very limited activity when it comes to head office space, the R, there have been some transaction announces the residential space but the new office space we are still seeing a very limited number of activities and we don't expect that this is going to restart massively between now and the end of 2024. I think a lot of that is also hinging on whether or not the ECB is going to persuade -- in June -- I think the market is expecting, probably lo of market participants are trying to get some kind of direction of pro or the interest rate before jumping back in? And from a company perspective, which we'll have an impressive rehearsal and pipeline which offer us tons of opportunity, which we're trying to size as much as we can. And given the nature and the amount of the turn demand that we have for those space [ph], I think there is still really interesting opportunities here to move the company forward. So to summarize, there was -- I think nothing really unexpected in the course of the quarter, the company have done pretty much in line with what we would have expected. The market themselves have not materially changed from where they were a few months ago with leasing markets to dynamic markets and then this market still a bit -- still, a good subdue [ph]. With this. I would now hand over and welcome the questions, if any.
Operator: Thank you. [Operator Instructions] The first question comes from the line of Kai Kloser [ph] from Baron bank. Please go ahead.
Unidentified Analyst: Good afternoon. Two quick questions for my side. The first one is on page five of the presentation where you said that new leases have a warhead award of four and a half years. In the extra information in the chatbox, you mentioned there are two larger leases having the value [ph] of 10 years, if I see that correctly. Could you explain the difference or why so many other leases have been signed that are much shorter leases.
Olivier Elamine: Okay, you said you had another question?
Unidentified Analyst: Yes. Yes. And the second session is also on nettings [ph]; is -- what would you currently see as a kind of normalized level of incentives? Because a different capacity as brought versus you can't experience in the markets?
Olivier Elamine: Yes. So the first question, I think what we're showing is additional information is all realizes which are higher than need 1500 square meter, and all those leases which are essentially leases which are in the development portfolio most of them, coming from development portfolio, we are usually achieving extentiously 1500 square meter, I mean that 10 years and that’s between 7.5 and 10 years is what we would usually achieve. In those kinds of space, the new leases that we have signed, it has also to do with the fact that on some of the assets where we’re trying to synchronize the end of your leases, we would stamp it, where we’re going to bring the asset to a development stage. So for -- to give you an example, we have an asset in Dusseldorf which is going to be empty around 2027. So if we have a vacant space today, we're going to talk to me that around 2.5 to 3 years, not more than that because we are trying to kind of synchronize all the leases and have the assets vacant. I think I have to give him little bit of time for us to be able to refurbish and retrofit [indiscernible]. So, the difference between the two numbers that you have seen and the reason why we have lower walls on some of the smaller users leases, less than 1/3 is usually expenditure is usually explained by a that mechanism where we're just trying to optimize the cash flow at the company level, and therefore we have a short-term basis, why we wait for the effort to guarantee. On the incentive side, look, it's the -- it's seems pretty reasonable, I would say. And I don't think there's something I've changed materially from where they were, even before COVID. We're still looking at somewhere between 8% and 10% of the value of leads that you're providing an incentive, especially on newly recovered space, which is more like a rare commodity right now in the market. The need for high incentive is not as strong; the lending market itself remained reasonably balanced. So we are not seeing right now the balance of power shifting neither towards the landlord nor towards the tenants. So we have a reasonably balanced conversation with the tenants and I would expect that this balance is going to remain as we move forward. And I would expect that this mainly is going to remain as move forward. Again this is mainly in space which is refurbished. If you have space which is older and where, you know, no CapEx has been spent, the situation might be different but that's usually not the kind of space that we're putting on the market.
Operator: The next question comes from the line of Pranav [ph] from Barclays. Please go ahead.
Unidentified Analyst: Thank you. As you mentioned on the debt maturities, you don't have a lot due this year and really just a bonds due for the next three years. So, have you started engaging with bondholders to understand how -- you know, what are the options available to you or are you planning to refinance with secured debt?
Olivier Elamine: Yes. I mean, we have not engaged with bond holder because I and I assume every bond holder which is listening to this call, is assuming that we would repay on the days where the budget is going to be due, and an old buy back -- some of the bond on the way to that date. And the intention and that has not changed is to refinance that essentially through the mortgage market. Correct.
Unidentified Analyst: And if I could just follow-up. I think you've mentioned before that the holdings you declare as related party from Brookfield of these bonds are independent of the bond buybacks that you have done. Is that still the case?
Olivier Elamine: Yes. So brokerage is an independent entity compared to us. We have different governance, and what we show on our website is our holdings. We do show the holding of Brookfield within our financial reporting because we have to report them as related-party transactions but those are two independent holders essentially. The bond that we hold for ourselves are basically going off of our balance sheet. When you look at our financial concerns, they try to statements with either Boehner Brookfield [ph] are the same brand as the one that any third-value investor would held.
Unidentified Analyst: Okay. Thank you.
Operator: [Operator Instructions] The next question comes from the line of the [indiscernible]. Please go ahead.
Unidentified Analyst: Hi, there. Sorry, I joined late. Could you just confirm that there is not going to be any cancellation of your bond holdings as far as you’re concerned, not Brookfield.
Olivier Elamine: Yes. So, for the time being we're keeping the bonds that we own on the balance sheet, we're not cancelling them. That's not to say we always have the option to cancel them but we have not done that. And I'm -- from today's perspective, the likelihood is we're going to hold them to maturity and then capture them at the date of maturity. But for those that haven't -- you guys, know, kind of commitment to do that or to put it this way. For us, there is no difference between capitalism and keeping them. We just keep them because it basically allows us to book the profit on the buyback at the point-in-time where we feel it's the most appropriate for the company. So, the main driver for us in cancelling non-cancer or non-cancelling the bonds is [indiscernible]. Is that is a good moment in time where we want to book the profit. Since I don't know if it makes sense what I'm saying.
Unidentified Analyst: Yes. So should we should we think of them as also investments for us? Could you actually resell them in the market? If -- if you could book a higher profit?
Olivier Elamine: No. Our people don’t intent. The intent is not to be seldomned, again, the only reason why we have not concerned and yet it’s because there is a timing consideration about at what point in time we're going to pay that we're going to generate the profit. And the reason why this timing is relevant is because, as you know, as a REIT we need to do to get 90% of the profit that we generate. And so, we want to make sure that at the moment when we go get that specific profits, either we have lots we can offer or we have the cash to pay with.
Operator: The next question comes from Thomas [ph] from Deutsche Bank. Please go ahead.
Unidentified Analyst: Hi, actually I have one question. Just wondering if I could get any color from you on the fraud outlook for values and operational performance. I mean you look at values, I mean, to think we are through most of the downward adjustment and an operating performance just regarding vacancy and rental growth. What is your expectation?
Olivier Elamine: Well, thanks for the question from us. I appreciate the trust in our wisdom and reading into the future. On the rental market, I'm very positive on the prospect of rental market, including the prospect for rapid growth, at least in line with where inflation is. When it comes to like new worker space, the -- what we are seeing right now in the lending market is that most of the corporates are looking to upgrade the quality of the space in which they are. And that doesn't mean that everyone is going to end up into a luxury office, but everybody is moving up a bit of the value change when it comes to the quality of the office that you have, and that's basically -- it's still driving rent, demand and also rental growth for those specific assets. Again, if you have an assets in which you're not investing anything, is that likely to going to generate any growth from rental perspective. But if you do your homework and you provide an asset which has good credential, from a new workspace concept and from what people call ESG performance; it's likely that you're going to see rental growth clicking through. On the value of the real estate and the yields that it's going to come to the real estate; I think it's still too early to say whether we have seen the trough or we could go lower from where they are now. And the reason why I'm bit cautious here is we haven't seen yet most of the trade transaction going to the market; if you remember, always you listen to the call that we had for the end result. Our view is that you first need to see some of the distressed transaction going through and for the time being, a lot of the investments and a lot of the money which is sitting on the side line because it’s waiting for results, distressed asset to hit the market before the investments start again. And then depending on when the distressed assets are going to hit the market, it might then have an impact on how value we're looking at live. So the closer you are to do anything, the closer we see because some of the distress reduction trickling into the market, the more likely it is that the value are going to say, “oh no, now value are down.” And then it’s going to take shipments or maybe a year before pilots start, they are creeping up again. So from a very short-term perspective, there might be some going to take longer, or the value of real estate. But then, if you take a step back and you think more like a 5 year view I mean where we are. Before as probably much closer to the bottom, than we are to the top and to adjust next who where you can still see some pressure -- and selling pressure on the assets. But then as you take a step back [ph] it will be flushed through the system. I am confident that you could see the value recovered because the end of line for the month, and the line of economics our sales RTV [ph] good.
Operator: Once again, it is star-one on your telephone keypad to ask a question. [Operator Instructions] Since we have no further questions registered, I’ll handle the conference back to you, Olivier.
Olivier Elamine: Well, thank you very much. Thank you for your interest in the company. You're interest still in the company. We appreciate you taking the time to be with us today. We will be speaking again for the half year presentation, I think in the Court of Appeals. And in the meantime, if you have any follow-up questions, by all means, please feel free to drop us a line or call us [indiscernible] or myself. We'll be happy to accommodate. Thank you very much for your interest. Wish you a good end of the day and looking forward for the next time. Thank you. Bye-bye.